Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Huize Holding's Limited First Half and Second Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the management’s prepared remarks, we will have a question-and-answer session. Today’s conference call is being recorded and a webcast replay will be available. Please visit Huize IR website at ir.huize.com under the Events and Webcasts section. I’d now like to hand the conference over to your speaker host today’s conference, Ms. Harriet Hu, Huize’s Investor Relations Director. Please go ahead, ma'am.
Harriet Hu: Thank you, operator. Hello, everyone, and welcome to our earnings conference call for the first half and second quarter of 2021. Our financial and operating results were released earlier today and are currently available on both our IR website and the newswire. Before we continue, I would like to refer you to the Safe Harbor statement in our earnings press release, which also applies today’s call as we will be making forward-looking statements. Please also note that we will discuss non-GAAP measures today, which are more thoroughly explained in our earnings release and filings with the SEC. Joining us today are our Founder and CEO, Mr. Cunjun Ma; COO, Mr. Li Jiang; Co-CFO, Mr. Minghan Xiao; and Co-CFO, Mr. Ronald Tam. Mr. Ma will start the call by providing an overview of the company’s performance and operational highlights for the first half and second quarter of 2021. Mr. Tam will then provide details on the financial results for the period before we open up the call for questions. I will now turn the call over to Mr. Ma.
Cunjun Ma: Hello, everyone, and thank you for joining Huize’s first half and second quarter 2021 earnings conference call. We achieved record results in the first half which is particularly commendable given the challenging environment we currently face. Total gross written premium facilitated on our platform increased by 72.7% year-over-year to RMB2.06 billion, well above the industry average growth in the first half, and total operating revenue nearly doubled to RMB950 million. In the second quarter, most life insurance companies reported year-over-year declines in GWP due to technology from Jumpstart [indiscernible] at the beginning of the year, and the statutory definition change of critical illness. Nonetheless, we have demonstrated strong resilience in our operations during this traditionally slow season, with total GWP amounting to RMB670 million in the second quarter returning a double-digit growth year-over-year. Apart from the robust growth in total GWP and operating revenue, our cumulative number of insurance clients and insured clients reached 7.2 million and 60.3 million, respectively. I would like to further emphasize the differentiation [ph] of our user profiles, and how this could benefit our business. In the first half, about 72% of long-term insurance customers were from higher tier cities, with an average age of 33 years old. In terms of first year premium, the average ticket size of our long-term insurance products has maintained at a relatively high level of RMB4,332 in the first half. While the average ticket size of our savings insurance product has reached RMB28,439 in the first half. Moreover, in the first half our persistency ratio for long-term life and health insurance in the 13 and 26 months have maintained at above 95%. We believe these indicators highlight the strong stickiness and high lifetime value of Huize's customers. In the first half, GWP for long-term life and health insurance products accounted for 95.3% of our total GWP. This not only demonstrates our competitive edge in both sales and service capabilities among China's online insurance platform, but also proves our prominent position in long-term insurance products. After years of operations, our strategic focus on distributing long-term insurance products can help extend the reach to customers through [indiscernible] services. And the multi dimensional user data and increased position of our user profile will be strategically important for us to optimize our customers products, improve our service capability and build our ecosystem. At the same time, we have further expanded the depth and breadth of our product coverage with a diversified product portfolio, including protection, savings insurance, and retirement spending products covering the entire customer lifecycle, thereby tapping the value of existing market and exploring the growth potential from new markets. It's worth mentioning that our savings insurance including annuity and long-term life insurance contributed to 23.6% of first year premium in the first half, increasing from 17.1% over the same period last year. Product innovation is one of Huize's core competencies. In the first half, we continue to make progress on new product design and innovation. As a result, GWP for co-develop insurance products accounted for 55.1% of total GWP, increasing significantly by 14.3 percentage points from the same period last year. In April, the CBIRC issued a guidance that emphasize the personalization, differentiation and customization of insurance products. This signals that the customization of insurance products will be a major event moving forward and we believe that [indiscernible] capability is the key to drive product customization. For example, we have recently partnered with Sun Life Everbright Life Insurance to launch Everbright Smart Choice, a retirement annuity product. When developing this product, we identified numerous [indiscernible] in the market and resolve them one by one through our long accumulated user data and the machine learning algorithms. At the same time, we use AI technology to estimate the combination of premium rates and terms and conditions of the product that best fit our client interests, thereby creating a comprehensive and innovative product that stand out in the market. Finally, our online marketing strategy has significantly reduced the promotion costs of our products, enhancing our price competitiveness over other [indiscernible] offline products. On top of product customization, we are also committed to enhancing our service capabilities. We believe that the insurance industry has moved to a quality and sustainable growth phase and the traditional business model of relying on numerous insurance agents has reached an inflection point. Further, future competition in the industry, we're focused on solving problems and creating value for customers. Since the beginning of the year, we have been exploring and building a value added service system to provide users with online consultation, early cancer screening and other health management services. In July, we partnered with Sungrow to launch immune cell trial cryopreservation as a value-added service to meet the demand for high-end and diversified health care services of millennial customers. We believe such services throughout the duration of the policy will not only increase the core competitiveness of our platform in the marketplace, but also help us to create longer term engagement with our users and maximize their lifetime value. Digitalization and technology are the core strengths for the development of the Huize 3.0 era. We believe that embedding technologies, such as data analytics and AI into key business processes will help improve the operating efficiency and risk management capability of our platform. Our calculation show that AI proposal application has made it possible to save up to 83% of our consultants time and the average time needed to complete a transaction has been half. Our technology has also been critical to our platform regulatory compliance with our AI data and quality assurance system, enabling us to achieve full coverage of consultant conversation inspections through NLP technology. This has significantly improved our quality assurance efficiency by over 80x and accumulated over 200 million [indiscernible] of conversation data. Finally, I would like to share with you an important milestone in our O-to-O integration strategy. We have entered into a MoU with Shengs Life & General to acquire a controlling interest in the company. We believe Shengs Life & General has accumulated deep customer insights in the mass affluent life and health insurance markets. Leveraging its robust sales team of professional industry veterans, extensive coverage and experience of serving clients, Shengs Life & General greatly complements our last-mile offline presence, allowing us to provide products and services both online and offline, which will further improve the market presence of our customized products and enhance the brand awareness of Huize. We intend to utilize our digital capabilities to empower Shengs Life & General, accelerating the establishment of our open insurance product and service platform, covering sales management, product offering and back end support with the aim to significantly enhance the efficiency of traditional insurance operations. We look forward to the business expansion and realizing revenue growth synergies from this mutually funded, mutually beneficial integration. This concludes my prepared remarks for today. I will now turn the call over to our CFO, Mr. Ronald Tam, who will provide an overview of our key financial highlights for the first half and second quarter.
Ronald Tam: Thank you, Mr. Ma. and Harriet, and hi, everyone. We are very pleased to report a set of record first half operating and financial results. In terms of both total growth within premiums or GWP facilitate on a platform as well as total operating revenues. In the first half of 2021, total GWP amounted to RMB2.1 billion, representing a very strong growth of 72.7% year-over-year. First year premiums, or FYP accounted for RMB1.2 billion, or 57.9% of total GWP, which has doubled from the same period of last year. Renewal premiums accounted for RMB868 million, or 42.1% of total GWP, representing a year-on-year increase of 45.4% in the first half. And for the half year mark, we have already achieved over two-thirds of the total GWP for the entire year of 2020 and almost 80% of total revenue for last year. In the first quarter of the year, we recorded we’ve capitalized on the tremendous market demand for critical illness products by consumers by taking upon a more aggressive approach on marketing spend and customer acquisition strategies, which has resulted in a very strong 2.2x growth in FYP in Q1 as well as the acquisition of many high quality users onto our platform with average FYP per policy of over RMB4,000. For the second quarter, as we have expected it to be a relatively slower quarter due to seasonality as a result of the Jumpstart sales campaign in Q1 and also expected softness in the critical illness product segments after the absorption of pent up demand in the first quarter. We are therefore strategically focused on the marketing and distribution of savings insurance products, including a customized endowment life insurance and annuity products which we have [indiscernible] with our insurance carrier partners. As a result of our strategy, we have maintained a healthy growth in total GWP of 12% year-over-year to RMB668 million in the second quarter. This was driven by the robust year-on-year growth in renewal premiums of 22%, which again is a testament to the high quality of the users that our platform is able to attract and acquire through our marketing channels, as evidenced by the consistently high 13 month and 25 month persistency ratios of over 95% that we have achieved during the second quarter. As for FYP, although in the second quarter we saw a modest 5% decrease year-over-year mainly on the back of a slow pickup in critical illness market demand, we were still able to drive through a very strong growth in the distribution of savings insurance products, which has accounted for 38.2% of total FYP distributed in the second quarter. Another highlight with respect to the savings insurance product segment is that 31% of the FYP in saving insurance was contributed by repeat purchases from our existing users on the platform, which again speaks to the high quality of a 7 million plus user base. And in particular, the high LTV or lifetime value potential of our users, given the high average ticket size of over RMB28,000 that we have achieved in distributing our savings insurance products. We're continuing to see very strong momentum in our savings insurance product segments going into the third quarter, which again will greatly complement to our overall FYP and top line growth for the rest of the year, and also becoming an increasingly important contributor to our general diversification in revenue and overall product portfolio. Now turning to the financial line items. Total operating revenue for the second quarter was RMB218.6 million, which is a slight decrease of 7% year-over-year. The decrease was primarily due to the 5% decrease in FYP facilitated as we mentioned earlier, which totaled RMB303 million for the quarter, but offset by a strong 32% increase in renewal premiums, which amounted to RMB364.8 million in the second quarter. Operating costs for the quarter increased by 8% year-over-year to RMB152 million, which is primarily due to increased customer acquisition and channel costs. Selling expenses for the quarter increased by 62% year-over-year to RMB77.9 million mainly attributable to increased salaries and employment benefits due to an increase in sales and marketing headcount as well as an increase in advertising and marketing expenses, which is offset by a decrease in share-based compensation expenses. Selling expenses as a percentage of total operating revenue for the first half, however, has decreased from 28.9% last year to 16.2% this year, representing a 4.7 percentage point improvement year over year. G&A expenses for the quarter decreased by 7% year-over-year to RMB43.5 million, primarily due to a decrease in share-based compensation expenses. The G&A expense to revenue ratio also decreased to 9.9% in the first half this year from 17% in the same period of last year, resulting in a 7.1 percentage point improvement, which is a reflection of the overall operating efficiency and leverage that we have demonstrated. During the quarter, we have continued to invest heavily in our technology upgrades for our core platform, and R&D expenses for the quarter grew by 104.3% year-over-year to RMB25.7 million, which was mainly driven by an increase in technology investment and the related number of R&D personnel increase. Overall for the quarter, we have recorded a GAAP net loss of RMB77 million. We continue to maintain a robust liquidity and a strong financial position. As of quarter end, we had a combined balance of cash and cash equivalents of approximately US$67 million. And coming to our official guidance, we currently expect total operating revenue for the full year of 2021 to be approximately RMB1.7 billion, which represents approximately a 40% growth rate year-over-year. This forecast reflects the company's current and preliminary views on the market and operational conditions, which are subject to change caused by various uncertainties, including those related to the ongoing COVID-19 pandemic globally and also any recurring rate of infections in China. With that, that concludes our prepared remarks for today's call. We will now turn the call over to Q&A session. Thank you.
Operator: Thank you, sir. [Operator Instructions] We have the first question from the line of Michelle Ma from Citi. Please ask your question.
Michelle Ma: So my first question is regarding to a recent directory crackdown on irregularities in the online insurance sales space. So just wondering what's the impact on our [indiscernible] channel? And the second question is about our future strategy. So we have, obviously, a large amount of cash on balance. So where we have any, like new initiatives regarding future business strategy, especially, we mentioned that before that we want to strengthen our [indiscernible] channel previously so as to so going forward. Thank you.
Ronald Tam: Okay. Thank you, Michelle. It's Ron here. Maybe I will take your questions. So the first question regarding regulations, I think the market has obviously been quite concerned over not just in our industry, but also across various sectors on the recent [indiscernible] of government regulations coming out to the market. So I think in particular with relating to the insurance industry, or the internet insurance industry, particularly where we are participating in, the recent number 80 -- sorry, 87 document, the content of which is actually not any new regulations, per se, it's more of a reemphasis on the implementation timetable for the underlying regulations that was actually released in December of last year, and was coming into effect of this February of this year. So overall, of course, I think Huize is a long established platform with 15 years of track record. We are very embracive of this new regulatory regime and demand because it's definitely good for the overall long-term sustainable growth of the industry as a whole. And as one of the more leading and compliant platforms in the industry, I think that we see ourselves as a beneficiary of the regulatory developments. So particularly with pertaining to the points relating to regulations, I think that the regulators are more focused on best-selling activities by platforms, [indiscernible] bundled sales of insurance products, more in compliant operations during the business processes, and so forth. So I think given that we have been adapting to the changes since last year or late last year, we have already [indiscernible] in a complete and comprehensive review of our operation so that we have established the relevant rules and policies with respect to our own self operated activities as well as the other channels that we cooperate with to make sure that all the contents that are marketing materials that will be delivered to the marketplace, which will be consumed or read by the users to be compliant from a regulatory standpoint. And also, I think that on the best-selling or product pricing perspective, because that we have always been more focused on the higher value long-term health products. We are less involved with the short-term medical or reimbursement kind of insurance products, where I think most of the best-selling risk [indiscernible]. So I think that overall, as a conclusion, I think that we have are well [indiscernible] as a platform to manage to these regulatory changes as we don't see any particular material impact on the business as a whole. So going on to your second question on the cash balance and potential use of this cash resources, I think that we have obviously just announced the Shengs Life & General acquisition. And overall, that will be a very important element to accelerate our online to offline integration strategy, as our CEO mentioned in his prepared remarks, and also to make sure that we have be able to deepen our engagement with our customers, and to be able to generate more lifetime value through the additional offline coverage or in-person interactions with customers. So M&A was definitely one of the potential areas where we can deploy our cash resources. Secondly, I think that we're also very focused on implementing and executing on our new open platform strategy, which we are still in the very early stage, which will require additional capital with respect to increasing our investment in the core platform and technology. And that is reflected in our continued investment in R&D since we have [indiscernible] IPO. And thirdly, I think that we also be increasing investments in our branding and marketing to further improve our [indiscernible] business and to be able to generate more traffic to the platform on an organic basis. I hope that answered the questions, Michelle. Thank you.
Michelle Ma: Thank you.
Operator: We have the next question from the line of Edwin Liu from CLSA. Please ask your question.
Edwin Liu: So it's good to see that the savings insurance has accounted for a larger portion of the FYP. So I just want to understand more about the details of the savings insurance. In particular, if we are to calculate the take rate with the denominator as FYP, what would be the take rate level for the savings insurance? And also, if we calculate the cost of revenue percentage of the brokerage income for the savings insurance, what would be the level, especially if we compare to other types of products like the long-term health insurance? Thank you.
Ronald Tam: Okay. Hi, Edwin. Thank you for joining the call again. So on the question on latest development on the saving insurance product, I think that, first of all, I think it's very encouraging to see that we are making headwinds -- headway into scaling up this portion of the portfolio, not only because of the weakness or softness in critical illness, as we all know in the market, but also as a long-term strategy for us to extract further LTV from our existing users. And also we have touched upon the relatively high proportion of repeat purchases of savings insurance products from existing users. So I think that is a very good reflection of our overall business strategy is working out fine. With respect to the take rate or commission rate, I think that -- I think to put it simply take an example for our latest endowment life insurance product, I think you're looking at roughly around 10 to 20 percentage points commission rate a bit lower than your typical customized long-term critical illness products. But I think you need to bear in mind also that the average ticket size for this product is quite a lot higher than critical illness products. So I think we've been telling the market and disclosing the market that on average the CI products we distribute, carries around a 4000-ish kind of RMB ticket size on average. But now we are seeing that the average savings insurance products are growing at RMB28,000. So I think despite the [indiscernible] lower take rate, if you will, but the overall economics accretion to our P&L or to our revenue line is actually quite promising. So I think that will be the answer to your commission rate or take rate question. In terms of costs, I think that if you look at our Q2 results versus our Q1 on a quarter-on-quarter basis, you can actually see that is a 5 percentage point improvement on our gross margin. So I think that also is partly due to the reasons I stated above.
Edwin Liu: Great, thank you. It's very clear. Thank you.
Ronald Tam: Thank you, Edwin.
Operator: We have the next question from the line of Allen Feng from Morgan Stanley. Please ask your question.
Xuezhi Feng: I have two quick questions for management today. So first, should we continue to expect an increase of mix for savings products in the upcoming quarters, given the critical illness sales are still pretty weak in China? And secondly -- so you talked about -- a lot about the O-to-O synergies between in a sense life and general agency and your core business. Could you maybe just elaborate and give us a few examples? Thank you.
Ronald Tam: Okay, thank you, Allen. Thanks for joining the call again. So two questions here. I think the first question on the proportion or contribution from our savings insurance products going forward in the second half this year. I think you're very correct to point out that it's very likely that we'll see a increasing proportion or contribution from savings products in the third quarter and fourth quarter due to the overall market sentiment around in BCI products. And also, I think the consumers right now as a whole is definitely more geared towards consuming life insurance or annuity products. So I think you can also see that we have recently just launched the new retirement annuity product with Sun Life Everbright. So I think that's a very good example of how we are constantly adapting to market changes, and also leveraging on our product development expertise to co-develop and work with our insurance carrier partners. I think that the endowment life insurance product that we have co developed with HongKang Life has been doing very well in the second and third quarter. And we are already seeing, I think we can also disclose on this call that we are also seeing already a sequential growth, quite strong growth in this area. So I think we can expect that there will be a meaningful increase in the contribution from the savings in the third and fourth quarter. However, I think that the critical illness product should come back to life, if you will, towards the end of this year. We are also gearing up towards launching a new product in this space, probably towards the back end of this quarter or next quarter. And I think with the new product launch, we should also be able to drive improved sales in this area, given that we will have a more innovative and more and more market friendly product design features so that we can encourage ourselves, our own consultants, also our channel partners to market and distribute this new product. With respect to the potential integration revenue synergies with the offline agencies since life and general that we have targeted, I think that there are a few things that we can probably look forward to. I think the most important thing is that we are able to leverage on the offline presence to serve our customers on an offline context. So not just that we can see them face-to-face, we can further deepen the engagement with them to understand more about the needs and the family's needs, and therefore to have a more insightful customer profile, which we will feedback to our own consultants for cross-selling and up-selling opportunities. The other thing that we can also divide synergies from is because the comprehensive suite of products that we have on the Huize [ph] platform we are also be able to provide to this offline partner on immediately on an overnight basis so that we can empower them with a full suite of products. As you probably understand, typically in China, for these regional agencies, they suffer from the lack of product supply from the mainstream insurance products -- the mainstream insurance companies. And also they probably received less favorable commissions, treatment from the insurance carriers. So by plugging into the Huize [ph] system, obviously, we can empower them on a product supply. We can also empower them on our digital platform and digital tools to increase the efficiency of the offline agents, therefore to improve productivity further on a per agent per month basis. So I think that will be the overall concept we are looking at with respect to this acquisition. Hope that's clear.
Operator: Thank you, sir. Can we go ahead and move to questions?
Ronald Tam: Yes, please.
Operator: Thank you. We have the next question from the line of [indiscernible]. Please ask your question.
Unidentified Analyst: My first question is about the savings product. We can see an increase in the proportion of savings products. What percentage of savings products are from existing customers? The second question is have we seen the drop off [indiscernible] due to the headwinds [indiscernible] education industry in the second quarter? Thanks.
Ronald Tam: Okay, thank you. Thanks for joining the call. Two questions here. First question was about the savings product. How much of the FYP is coming from existing users? So I think we have actually touched upon this earlier. We see that in the second quarter, around 31% of our savings product is coming from repeat purchases on all existing users on the platform who have purchased a policy with us before. So that's the answer to the first question. And the second question on the [indiscernible] cost trend vis-à-vis the overall headwinds stating the education or the ed tech sector. I think that what we've seen here [indiscernible] is that we do not see -- perhaps we have a very different marketing strategy than obligate our peers. And the target customers that the ed tech sector look at is probably not exactly the users that we're targeting. So, we do not see a material, or obvious impact on where we see cost of acquisition on our platform. Thank you.
Operator: Thank you, sir. At this time, I would like to hand the call back to the speakers for any closing remarks. Thank you.
Harriet Hu: Hi. Thank you. Thank you, operator. Thank you, everyone. So we would like to thank you all for joining the call today. And if you require any further information, please feel free to reach out to us. Thank you for joining us today.
Ronald Tam: Thank you.
Operator: Thank you, sir. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.